Operator: Good day, and welcome to the National CineMedia Third Quarter 2021 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Ronnie Ng, CFO. Please go ahead.
Ronnie Ng: Thank you, Tom. Good afternoon. I'm joined today by our CEO, Tom Lesinski. I would like to remind our listeners that this conference call contains forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended, and Section 21E of the Securities Exchange Act of 1934 as amended. All statements, including our discussion about future impacts of COVID-19 other than statements of historical facts communicated during this conference call, may constitute forward-looking statements. These forward-looking statements involve risks and uncertainties. Important factors that can cause actual results to differ materially from the company's expectations are disclosed and the risk factors contained in the company's filings with the SEC. All forward-looking statements are expressly qualified in their entirety by such factors. Further, our discussion today includes some non-GAAP measures and in accordance with Regulation G we have reconciled these amounts back to the closest GAAP based measurement. These reconciliation can be found at the end of today's earnings release or on the Investor Relations page of our website at ncm.com. Now, I’ll turn the call over to Tom.
Tom Lesinski: Thank you, Ronnie, and great to have you on the team. Good afternoon, everyone, and welcome to our third quarter 2021 earnings call. I hope that you all are having a happy and healthy fall. During the call today, I'm going to provide a high level update on the continued recovery of our advertising business and the ongoing steps that we're taking to diversify our business and drive cinema advertising revenue growth. Now that the theatre attendance is trending towards historical levels. I will also provide an update on the expansion and growth of our digital business as it continues to drive the growth of our consumer databases that provide more robust audience analytics to our clients. Ronnie will then provide more details about our financial results and how we continue to manage our overall liquidity. And then, as always, will open the line for your questions. The fall moviegoing season has delivered powerful box office results and are getting close to historical levels. With the opening of big films to October, we had three weekends in a row with box office of more than $100 million and six weekends in a row, with box office results averaging over a $100 million per weekend. This is the first time that there's been a consistent and meaningful week-to-week audience that is so important to our clients. Marvel Studios, Shang-Chi and the Legend of the Ten Rings set an all-time Labor Day opening weekend record and has grossed in over $223 million through last weekend. And with the consecutive weekend openings in October of Venom; Let There Be Carnage, the latest in the James Bond franchise No Time to Die, Halloween Kills in June. The box office in October delivered $637.9 million the best ticket sales haul domestic box office of any month in 2021. Given these results, it is clear that consumer demand for the communal big screen experience of the movie theatres continues to be strong. We expect that trend to continue throughout the rest of Q4 and into 2022 with a powerful Q4 release schedule that includes Sony Spider-Man No Way Home and Ghostbusters Afterlife, Disney's Encanto, Warner Brothers, The Matrix, Resurrection and Universal Sing 2, most of which will have exclusive theatrical windows, including Disney and Marvel's Eternals, which had a strong $71 million opening this past weekend and a worldwide take of $161.7 million, the second best opening in 2021, behind F9’s $163 million. As you may recall, after the huge Labor Day opening of Marvel Studios, Shang-Chi, Disney announced the rest of the 2021 slate would have an exclusive theatrical window. The awakening of the theatrical box office this fall has reignited advertiser demand for our core in-theatre products and our desirable hard-to-reach demographic of diverse young adults aged 18 to 34. This is an important part of our value proposition for advertisers, as this demographic makes up $76 million Americans who spend significantly across many categories, including fashion, electronics, travel, dining and entertainment. With forecasted buying power of an estimated $8.3 trillion by 2025. Since the opening of F9 that kicked off the summer moviegoing season, week-over-week, these young patrons have been the first to come back to the cinema, and they have compromised a higher percentage of the opening weekend attendance, including 50% of Black Widow and Free Guy, 59% of Shang-Chi, 69% of Candy Men, and 64% of Venom. Most recently, Halloween Kills proved the top choice for this younger demo, with 62.4% making this trip to see the new title on its opening weekend despite a streaming option that had no additional charge beyond the monthly subscription fee. While the various film release strategy experiments of the traditional Hollywood studios and new tech companies continues to play out, there are strong signs that an exclusive theatrical window remains the best approach to maximize profitability for content producers. As mentioned after being one of the first studios to try a day and date release strategy, Disney recently committed to release all six of the remaining films on its 2021 slate exclusively in theaters. Warner Brothers has followed suit with its 2022 release schedule. Disney also recently confirmed the release schedule for 2022 film slate, enabling a longer term view for the box office and audience projections. With all the consumer awareness, word of mouth and other free marketing and PR benefits Cine provides and the significant lost revenue due to streaming related piracy, it has become increasingly clear that studios are leaving money on the table with their day to day streaming strategies. These realities may underlie recent announcements by all major studios that they will maintain or reconsider an exclusive cinema release window for most, if not all, their films in 2022. There are also signs that some of the new non-studio streaming services will start to consider theatric release for some of their productions. With this strong recovery of the cinema business, in addition to continued deterioration of the ad supported TV business and slowing streaming growth, has created a great environment for our sales efforts as we are seeing much more significant advertiser demand. Also, while macro marketplace dynamics are still evolving as the supply chain issues get resolved, analysts continue to expect healthy economic growth due to increases in consumer spending. The strong consumer spending is expected to drive a healthy overall ad marketplace and given our work to maintain client and agency relationships during the pandemic, we are very well positioned during the recent calendar year, upfront selling season. We have already completed numerous upfront commitments and are actively engaged in finalizing many other negotiations with major advertisers for annual marketing campaigns that will start both in the fourth quarter of 2021 and first quarter of 2022. Currently, our 2022 calendar year upfront is tracking at approximately 75% of 2019 levels, with multiple deals still in discussion. We have already received commitments from more than 50 national brands, including several advertisers who are first time NCMI clients. Approximately half of our top 20 upfront partners from 2019 have closed deals with us for 2021, with several additional clients expected to make commitments by the end of this year. With larger and more consistent theatre attendance levels over the last several weekends, we’re also experiencing a strong momentum in the fourth quarter scatter market, including a sizable, recently closed integrated deal with a new client and category for NCM, who has committed to a 60 second spot in our platinum position during November and December. Top 2019 advertisers who have committed to return the fourth quarter of 2021 include brands in all major categories, including entertainment, insurance, automotive, social media, retail, gaming, dining, QSR, mobile, consumer products and tourism. Our fourth quarter pipeline also includes categories such as alcohol, media, financial and transportation. The robust upfront market demand that we're seeing may also be related to some changes in TV audience demos and viewing behavior caused by the pandemic, as traditional TV consumers are aging and favoring SVOD, a high quality video GRPs are becoming harder and harder for marketers to find. Also, as linear GRPs groups continue to drop, networks are increasing their pricing to secure the same level of upfront commitment. This dynamic creates a real opportunity for us, as marketers must find your premium video GRPs elsewhere and our CPMs appear more competitive. Putting cinema in a much stronger competitive position, especially with strong film slate for the remainder of 2021 and 2022. Looking at our regional and local advertising businesses, local cinema, ad sales have been impacted by the COVID-related broader economic supply chain and staffing challenges that a bit more generally negatively impacted small businesses across the country. These smaller companies scaled back on marketing and advertising expenditures as they faced headwinds in starting or expanding their businesses to meet increasing consumer demand after the pandemic. While our local and regional businesses had challenges in most client categories, three key categories were less impacted by the supply and staffing issues. Government education and healthcare. The fourth quarter local sales pipeline has picked up, and we expect to trend back towards 2019 sales level levels in 2022. Our core in-theatre ad products have also been strengthened by the progress we're making to create a more robust consumer analytics database with the launch of our new cinema advertising management system in the first quarter of 2021. This new management system is not only driving more efficient use of our available impression base, it's also making our existing sales process more efficient for our clients and laying the foundation for programmatic selling to our on-screen and lobby entertainment network inventory in the future. This management system will also allow us to integrate our growing consumer databases more efficiently into our selling process. This is particularly valuable competitive edge in light of the restricted ad targeting policies that are causing advertisers to shift spending away from social and mobile platforms. Given these strategic benefits, we have committed to aggressively aggregate, a highly valuable consumer data, both from our consumer facing apps like movie trivia, movie Arcade and from movie ticketing data being provided by our founding member exhibitors. These important movie audience data sources are expected to grow our data sets to approximately $300 million by year end, data sources are expected to grow our data sets to approximately $300 million by year-end, greatly expanding our ability to create more robust targeting solutions and post-campaign analytics and end to create custom closed loop attribution measurements for brands and movie studios alike. This data was an important part of an integrated ad deal we recently completed with a pharmaceutical company. Our goal is to become the premier source of movie related consumer data and analytics to enhance our growing industry position as the movie audience experts. This will put us in an even stronger competitive position with TV and larger digital advertising platforms and as an important part of supporting our premium CPM value proposition. With the expansion of our digital platforms, we are also aggressively bundling these impressions with in-theater impressions and our new out-of-home venues. By bundling our highly coveted theatre audiences with online impressions and other consumers that visit our other Digital-Out-Of-Home partner locations we are creating a unique offering for our clients versus our digital and TV competitors. These new integrated marketing offerings allow advertisers to engage movie fans before, during and after the movie anytime, and anywhere. As I mentioned, we recently closed a groundbreaking integrated advertising partnership for a pharmaceutical client that included national and regional ads on our big screen and on our digital platforms. In addition to our ability to provide impressions across all three of our advertising platforms, our ability to provide robust data and related analytics was also key to closing that deal. We have also seen success with our TikTok custom social influencer offering that we have developed in a unique partnership with the digital specialty group RAD Intelligence. This new bundled offering has been particularly successful on the local side, giving our local sales team an easy and affordable way for small business advertisers to participate in the world's biggest social platforms along with our on screen ads creating a powerful marketing package that reaches young consumers. Advertisers are currently using this tool include grants in the education, recruitment and government categories. And while supply - excuse me, and while current supply chain issues continue to impact some part of our client base, most notably the automotive brands, and there are lingering concerns about new COVID variants as colder weather approaches, we remain optimistic. The increasing vaccine levels, recent FDA recommendations for vaccine approval in children aged 5 to 11, strong movie release schedule and pent-up consumer demand will bode well for our cinema partners and our efforts to rebuild our book of in-theater ad commitments for the remainder of 2021 and 2022. As I mentioned, our pipeline for 2022 continues to build as the key negotiating window for the 2022 calendar year upfront period has been underway for a few months and will continue through December. To-date, we have completed a significant amount of our projected upfront revenue target for the 2022 calendar year upfront, which is well ahead of our typical pacing at this time in the process and is trending at approximately 75% of our 2019 upfront bookings. With the strong momentum going into 2022, we are planning to launch a very aggressive, proactive sales strategy during the 2022-23 broadcast upfront process that will begin in the first quarter of 2022. These winnings are with key planning and buying decision makers throughout first quarter and early second quarter of 2022. In addition to in-person one-on-one meetings, we are also planning larger upfront events in key markets during that time. We are confident the combination of a more personal, in-person approach, combined with larger in-theater marketing events, will allow us to enhance our market position and secure a higher level of commitments beginning in fourth quarter of 2022. Unfortunately, due to the timing of theater reopenings and relaxing of local government restrictions in 2021, we were not able to meet in-person and compete as aggressively we would have liked in the 2021- 22 broadcast upfront process, with the selling process turning back to its normal it provides a much better environment for us to pitch accretive marketing solutions that can only be delivered on the big screens. With audiences returning to the cinema, the strong 2022 film slate and continued TV ratings challenges we are very well-positioned to make NCM a larger part of the marketing plans of national brands and local and regional businesses. As we enter the fourth quarter of 2021 and with 2022 on the horizon, I'm really encouraged by our ability to maintain our strong client relationships during the pandemic. This, combined with the progress we had made to reshape and restart our business, will allow us to resume the momentum we were experiencing in 2019 and early 2020 before the pandemic started. I feel more than ever that NCM is well-positioned for success in a post-pandemic world. For all the reasons I have described on this call, I would also like to acknowledge the support of our board, our exhibitor partners and our advertising clients and their agencies, and - again, sincerely thank them for their continued support as we emerge from this historic and difficult time together and stronger than ever. Also, I'd like to welcome our recent additions to the NCM Executive leadership team as we have killed many - we have filled many key roles, including Chief Financial Officer, General Council, Chief Marketing Officer, Chief Human Resources Officer and Senior VP of Research and Analytics. While they've only been with us a short time, they are already making a meaningful contribution. So with that, I'll now turn the call over to Ronnie, one of the newest members of our senior management team, to discuss in more - in more detail, our financial results, liquidity position and outlook. Ronnie.
Ronnie Ng: Thank you, Tom. The third quarter saw our network began to emerge from the pandemic, with attendance beginning to accelerate with a strong Labor Day weekend box office, which exceeded that of the 2019 labor day we get through the third quarter accumulative year-to-date attendance levels already surpassed full year of 2020. And for the third quarter of 2021, our attendance was nearly 15 times that of the prior year and 1.5 times of the prior quarter, and was trending back up towards pre-pandemic attendance levels. We also experience improved advertising sales fundamentals with continued improvement in CPMs and market demand. For the third quarter of 2021 our national CPMs was up low-single digits compared to the same period in 2020 and up mid-single digits compared to the second quarter of 2021. Our national utilization rates were also lucrative total quarter of 2021, up 831 basis points compared to the third quarter of 2020 and up 2.3 times compared to the second quarter of 2021. We expect these trends will improve even further in the fourth quarter. Despite these recent improvements in business activity and pricing, and as we mentioned on our last call, advertising demand tends to lag the resurgence on the box office by a few months as clients need time to reallocate their budgets back to cinema. And, as Tom mentioned, want to ensure that there is a meaningful and consistent attendance level weekend to weekend. This is analogous to the standard advertising delays during the beginning of a recessionary recovery, where advertisers exhibit a wait and see approach. In addition, since the prior upfront selling period was during a time when theater going was significantly restricted by local governments or were in some cases still closed, this also affected our ability to fully benefit from the theater attendance recovery that accelerated rapidly over the last few months. As a result, we recorded $31.7 million of the third quarter revenue, which was up 428% compared to the third quarter of 2020 and up 126% sequentially compared to the second quarter of 2021, but was still below the $110.5 million in the third quarter of 2019. Given the continued impact of the pandemic on our business throughout the current and prior year quarterly and nine month period, I will focus much of my remaining comments today on our current liquidity position. Our continued success in limiting our monthly cash flow burn while continuing to spend as needed to quickly restart our business and thoughts on how we see our business continuing the path to recovery in the fourth quarter and 2022. Total third quarter adjusted OIBDA was negative $8.2 million compared to negative $11.2 million in the third quarter of 2020 and a $10.5 million improvement to the second quarter of 2021. This higher third quarter adjusted OIBDA reflect the revenue growth driven by a return of moviegoers to the theater and increasing advertiser demand, partially offset by higher founding member theater access fees associated with the significant increase in theater attendance during the quarter. As mentioned, this lag between the increase in theater attendance and increases in ad revenue was related to media buyers wanting to confirm a critical mass of ad impressions before they made meaningful ad commitments. As Tom mentioned earlier, the strong box office of the last six weeks has finally put that concern to bed, and advertisers are returning in force to drive a material quarter-over-quarter improvement as we move into the fourth quarter. Our third quarter average cash burn rate was approximately $11.2 million per month, an 18.2% improvement from the $13.7 million average during the second quarter. As a result of third quarter revenue growth and further improvement in working capital management, we expect the cash burn rate to decrease in the fourth quarter to an average of $3 million to $4 million per month and the fourth quarter it is expected to be our first quarter of positive adjusted OIBDA since the first quarter of 2020. With expected positive free cash flow in 2022. During the third quarter, as business activity began to pick up, we brought staff back very selective and restored base compensation levels of most full time staff members to pre-pandemic levels. Our cost reduction measures since the start of the pandemic have helped reduce our core operating expenses significantly. In the third quarter, our core operating expenses averaged approximately $6 million per month compared to our pre-COVID run rate of $9.5 million per month or a savings of 37%. While we expect these average monthly operating expenses to increase somewhat as our business trends back to historical levels, some of these savings are expected to be permanent. For the nine month period, our total 2021 revenue was $51.1 million, compared to $74.7 million in 2020, a decline of $23.6 million driven by the first quarter of 2020 being mostly unaffected by the pandemic. Adjusted OIBDA for the nine month period decreased to - a negative $43.1 million from a negative $9.5 million in 2020, again driven primarily by positive adjusted OIBDA of $14.4 million in the first quarter of 2020 that was mostly unaffected by the pandemic versus $16.2 million of negative adjusted OIBDA in the first quarter of 2021. For the third quarter we reported a GAAP loss per diluted share of $0.19 versus a loss per diluted share of $0.16 in the third quarter of 2020. The loss per share in 2021 and 2020 was again the result of the impact of the pandemic on the cinema business. For the nine months of 2021 reported a GAAP diluted loss per share of 70% compared to a loss per diluted share of $0.39 in the first nine months of 2020. Again, the 2020 results were positively impacted by the first quarter results that were not materially impacted by the pandemic. For the nine months of 2021, capital expenditures were $4.3 million versus $7.9 million in 2020 for reduction of $3.6 million. This decrease was related to the completion of our cinema advertising management system in the first quarter of this year and halt of all non-essential capital spending once the pandemic started. Total capital expenditures are expected to be approximately $5 million to $5.5 million in 2021. In the third quarter and for the first nine months of 2021, we received $200,000 and $300,000 of integration and other encumbered theater payments, primarily from AMC Carmike theaters versus zero and $1.4 million, respectively, last year. The AMC integration payments are based on what NCM could have earned, how the advertising has been sold in those theaters by our sales teams. As a reminder, these integration and other encumbered theater payments are added to adjusted OEBIDA for that compliant in partnership cash distribution purposes that are not included in reported revenue or adjusted OEBIDA as they are recorded as a reduction to the intangible assets on the balance sheet. Moving to our balance sheet. Our total debt net of cash at NCM LLC at the end of the third quarter of 2021 increased $135 million to $1.04 billion compared to $905 million at the end of the third quarter of 2020. Our average interest rate on all debt was approximately 5.6% at the end of the third quarter compared to 4.9% at the end of the same period of the prior year, due primarily to the new $50 million term loan funded due primarily to the new $50 million term loan funded earlier this year. Excluding revolver balances, approximately 72% of our total debt outstanding at the end of the third quarter 2021 has a fixed interest rate. NCM LLC’s current cash balances are $66.9 million and including the $6.8 million of availability under the revolver NCM LLC’s, total liquidity is approximately $73.7 million, which is in compliance compared to our liquidity covenant that requires a minimum liquidity of $55 million. Due to the timing difference between the collection of NCM LLC’s accounts receivables and payment of various expenses, including debt service, we have received board approval to enter into a revolving debt facility between NCM Inc. and NCM LLC and to seek additional outside debt financing. We are also actively pursuing an amendment to our senior secured credit agreement to, among other things, to extend the existing waivers of our senior secured credit facility financial covenants. Finalizing these credit agreement amendments and net borrowing commitments over the near-term will ensure that NCM LLC will not only maintain compliance with its financial covenants, but will also allow us to be well-positioned to take advantage of the recovery of our business. Our board of directors has authorized an NCM Inc. quarterly cash dividend of $0.05 per pound per share of common stock. The dividend will be paid on December 7, 2021, to stockholders of record on November 22, 2021. This quarterly dividend will result in a current yield of 5.2% based on today's closing share price of $3.88. The NCM, Inc, cash balance will be $43.1 million after payment of this most recent dividend, and thus our current $0.05 dividend can be paid for the next 2.5 years, with no additional NCM LLC distribution to NCM, Inc. This is well beyond the NCM LLC distribution restrictions contained in the recent bank debt amendment that terminate at the end of the third quarter of 2022 subject to certain limitations. The 2.5 years of dividend cushion is considerably longer than we have historically targeted. We will continue to monitor this cushion and related dividend level consistent with our intention to distribute over time substantially all our free cash flow resulting from distributions from NCM LLC once they resume. As always, the declaration, payment, timing and amount of future dividends payable will be at the sole discretion of the board of directors, who will consider general economic and advertising market business conditions, the company's financial condition, available cash, current and anticipated cash needs, and any other factors that the board of directors considers relevant. This includes impacts to the NCM LLC related to the pandemic and restrictions under the NCM LLC credit agreement. While market conditions have improved considerably during the third quarter, there continues to be some uncertainty related to the lingering impacts of the pandemic on our business, making it difficult to provide specific reliable future revenue and adjusted OIBDA guidance. However, we would expect fourth quarter revenue to increase meaningfully and cash burn to decrease sequentially each month to approximately $9 million to $12 million for the quarter, compared to over $33 million for the fourth quarter of 2020. Fourth quarter will be our first quarter in 2021 with modest upfront revenue versus almost no upfront revenue in the fourth quarter of 2020 and the first three quarters of this year. That said, I was still expect approximately 60% of our fourth quarter national revenue to be scatter before returning to a more normal split of approximately 60/40 upfront and scatter mix in 2022. Finally, with four quarter increasing meaningfully from the third quarter, as mentioned, we expect it to be our first quarter of positive adjusted OIBDA since the first quarter of 2020. In summary, our overall business is starting to experience meaningful recovery and with all the steps we took during the pandemic to maintain strong relationships with our clients diversify our sources of advertising impressions and build our consumer databases. We are well positioned to accelerate the market momentum, we had coming out of the third and early fourth quarters. With that, we will now open the lines for questions. Operator?
Operator: [Operator Instructions] The first question comes from Eric Wold with B. Riley Securities. Please go ahead.
Eric Wold: Thanks guys. A few questions for you, I guess one you noted that about half of year 2019 upfront advertisers and partners have closed deals for the upcoming upfront period. We understand that some of those are still probably under discussion that haven't signed, but for those that have not or past is there kind of a main reason that you've heard as to why that is the case maybe other than just monitoring more visibility. And then if we think about the next 75% of 2019 that you've locked in for 2022 what would you normally see at the start of the year booked relative to kind of the previous year's bookings?
Tom Lesinski: So of the 20 or so advertisers that we referenced candidly, it's still really a moving target in terms of what of that group will actually be part of the upfront or not. I can tell you that there is no category or major brand or advertisers that, has an issue with the platform. So there is no sort of silver bullet that some people are looking for. The only exception, I would say would be in the case of the auto business if there is a chip shortage which there has been with some significant big advertisers that could compounded. But there is no trend or any particularly large group of advertisers or individuals that have an issue with the platform. The 75% is higher than we normally would be in prior up-fronts. I don't to have all of the percentages before that, but the 75% is trending much higher than it was before in 2019. And I think the most important indicator that we have for the advertising platform success is people looking, not just in the fourth quarter, but in the next four quarters of 2022. And that's where the confidence of the commitment are, being made. And it's really predicated on the fact that we've had finally six weekends in a row of really good box office with some inconsistency, a little bit earlier than that, but now that we have consistency. We're seeing the benefit from it in the upfront. And like I said before, every key category that has advertised with us before has made commitments both in scattered and the upfront. So there is, no issues right now with the advertising cinema media business as it relates to advertising interest or acceptance.
Eric Wold: Perfect. And then just final question - there is a common towards the end. Obviously, we still expect 60% of Q4 national revenue to come from scatter. And then kind of the beginning you noted that you're seeing paused momentum in the scatter market. I heard you correctly, that scatter also including Platinum Spots commitments for November/December? Have you always thought as I have heard correctly we always thought that platinum would be in scanner given kind of budget commitment you said would expect for that size of a deal. And then how should we think about platinum kind of demand in general heading the next year and how is pricing holding up for that?
Tom Lesinski: Well platinum will be definitely part of the upfront package that we're currently selling. We were quite happy with bringing in a new advertiser in the scatter market and the pricing on that Platinum Spot was in fact higher than we had priced in the past, going back to the pre-pandemic level. So platinum pricing is alive and well and actually higher than we had expected. It's currently - was recently part of a scatter buy given the opportunistic nature of this advertiser and the availability. But going forward, it will continue to be both a mix of scatter and in the upfront part of our world.
Eric Wold: Perfect, thank you.
Tom Lesinski: You're welcome.
Operator: The next question comes from Terran Miller with Cantor Fitzgerald. Please go ahead.
Joe Farricielli: Hi, this is actually Joe Farricielli. Question on the theater access fees, since we're seeing a cadence to your business that we wouldn't have seen before, the third quarter is up materially from second, which was obviously up from first. What is the delay there to realizing revenue so I'm assuming you're buying your access ahead of showing your ads?
Tom Lesinski: I'm not sure I understand your question, you're asking about theater access fees or are you asking about ad revenue?
Joe Farricielli: Well, they should be related and I'm seeing an increase in your theater access fees and how far in advance, do you pay for your access before you realize the revenue?
Ronnie Ng: Well we pay monthly theater access fees. So, they're paid 30 days after the attendance level runs.
Joe Farricielli: So would the - so then there should be a correlation between the access fees and the growth and rev in your national and regional ad revenue, right?
Ronnie Ng: No, not necessarily, you got to remember that the theater access fees are correlated to attendance and a consumer can choose to go into a theater, the day of the movie or week before or the day before. Advertising commitments are made often months ahead of time if not multiple quarters ahead of time. So, there isn't a direct correlation always between theater attendance and advertising. Particularly during this COVID recovery period that we're just getting really finally through, it's only been over the last several months, we're attendance has gotten consistent that advertisers have gotten particularly comfortable making commitments upfront. Prior to COVID there was a higher correlation, but until we really gotten through this COVID period which is finally ending we’ll eventually start seeing more of a true up between actual attendance theater access fees and ad revenue.
Joe Farricielli: Okay. And then question -- thank you for explaining that then on your liquidity won’t you take away the $55 million reserve on the revolver. It leaves you with $18.7 million and wondering what's left on the $20 million unsecured revolver and if the expectation is to get the financing done during the fourth quarter?
Ronnie Ng: Yes - so like we said earlier, the expectation is to get our financing done here in the very near term. And one of the things that we are working through is amendment for the credit facilities, and then also the Inc loan to LLC has been approved by the Board. And so, but in addition, we've been given also permission to seek additional liquidity for the company as well. So we expect to move towards completing that before the - year-end holiday season.
Joe Farricielli: Okay. And I'm sorry so the $20 million from Inc is it available or hasn't been fully documented yet?
Ronnie Ng: So the documentation for that is nearly completed. So we haven't executed just yet as again as we are also working through few alternatives as well.
Joe Farricielli: Okay, got it. I appreciate the explanation. Thank you.
Operator: [Operator Instructions] The next question comes from Jim Goss with Barrington Research. Please go ahead.
Jim Goss: Thanks I have got a couple also. First, I was wondering how do you position your upfront ad sales right now are you looking at an assumption of total market size you expect versus 2019 or are you also trying to put in place the successful approach of broadcast reserve been able to stress the available concentration of high value demoing maybe not to have and a sort of to finance that variance?
Tom Lesinski: [Technical difficulty] for the marketplace over the next 12 months and obviously, we've been doing this for a long time and with the slate is and there's much more of a reliable forecast available for that. Maybe to that of course, is the high demand there is for reaching 18 to 34 year olds that a millennial Gen Z audience is very valuable and with the lack of availability of those GRPs and television We see a lot of interest in reaching that demo in the upfront market over the next 12 months and currently what we're booking right now. So I hope that answers your question.
Jim Goss: Yes. Also, are you, I think you might have talked about this in the past, but is there a granular linking of pricing and ad mix to the nature of films, or is that a pretty tough one to predict ahead of time and also the new ad categories like gaming that might be coming in are they creating any pressure, any demand that is helping your pricing as well?
Tom Lesinski: We can directly link pricing to particular movie. As you know, Jim, we sell in flights, and across those flights are multiple movies. There are certain individual movies that attract advertisers, particularly the Marvel movies, for example, that are highly correlated to that 18 to 34-year-old demo. But basically we sell more correlated to it an advertising schedule looks like for our client or for an agency for their brand. And this usually across flights which includes typically multiple movies, not just one. And I didn't hear the second half of your question, Jim, can you repeat the second half?
Jim Goss: Yes, I was thinking there were some new ad categories you're mentioning like gaming, which has been coming up in a number of media company conference calls. I'm wondering if some of these new categories such as that are adding to the ad demand then if that's affecting pricing as well?
Tom Lesinski: There are definitely new categories that are coming into our business everything from gaming to potentially sports and e-Gaming to even some of the crypto-currency types of companies. So, we have some very large categories that we'll be adding to our platform and that we already our part of the upfront. We know that there has been a high correlation between the gaming demo and moviegoers. So, we've always had big publicly-traded gaming companies, and now we're getting what I would call more mobile gaming and even gaming along sort of sports and e-gaming. So those are important categories for us. As you know, you can't really watch television days without seeing a lot of gaming advertising happening online and on television. So those are categories that we're excited about. But I think more importantly the fact that every category that's been with us for the past 20 years is with us right now on the national front is really encouraging. And it's a real testament to the strength of our national ad sales company that the relationships we've built over time are still really well developed and we're taking advantage of that and we've proven to the ad market for a long time that cinema advertising is unique and impactful and powerful. And we just had a little bit of a period where the COVID part of it hurt our ability to actually deliver those audiences, but now that we've see the recovery of the marketplace, particularly in the last six to eight weeks and the upfront, we're really confident about our recovery as well as the pricing of the inventory.
Jim Goss: Okay and one last small one cinema mentioned alternative content the other day in its call I was wondering if that's any opportunity of any sort for NCMI?
Tom Lesinski: Well, it's kind of a simple question, but it's complicated based on what rights we have or don't have. I don't really want to get ahead of myself on that, Jim. But I think over the next couple of quarters, we will give you some more visibility on what we might be able to do to help our theater partners.
Jim Goss: Okay, thanks very much.
Tom Lesinski: Thanks, Jim.
Operator: The next question comes from Alex Graf with Cowen and Co. Please go ahead.
Alex Graf: Thank you, guys for taking my question. Just want to get some clarification here given the lag time between advertising demand and what we're seeing in the box office attendance. Can you perhaps comment a little bit more on what you're seeing in the scatter market, specifically as it relates to discounting? How we kind of tracking versus historical levels versus 2019 I know in the second quarter, I think we were discounting a little bit to draw advertisers. And so just looking for some insight, an update on that front please?
Tom Lesinski: On the scatter market, obviously it's very competition and there is a more pricing optionality and there is more pricing opportunities for brands to take advantage of the marketplace. It not as critical part of our future going forward from a pricing point of view, we're seeing a lot of stability on our pricing on the upfront side of things. So candidly, we have a really premium priced product and we're doing everything we can to keep it that way. So while there may be some flexibility that we have in scatter. It's not a long-term strategy our plan is to continue to drive a high price for this young demo. So that's our plan. As we go forward into Q4 scatter as well as into the whole upfront for next year.
Alex Graf: Understood, thank you. And then in terms of how we should think about how that kind of translate into ad revenue per attendee. I would suspect that it's likely to remain depressed relative to the fourth quarter of 2019 in the upcoming fourth quarter. How should we kind of think about that line in the fourth quarter and into and on a go-forward basis, more like a run rate sort of figure?
Tom Lesinski: I don't think we can provide guidance right now on Q4 or on next year as it relates to that specific question at a point where we're going to go back to providing guidance. We'd be able to do that. So I can't I can't give you any specifics on that - and I don’t know if you have anything Ronnie to add.
Ronnie Ng: No, I think, I think that - that's right. I mean, if you just in general, if you look at the revenue per attendee for this year, it's a - and it's been lagging, obviously compared to 2019. We do see again a lot of improvement exiting the third quarter and during - the fourth quarter. And so, we expect that again like third to fourth quarter to be much improved. So you would have to kind of working the map based on other estimates around attendance levels around that.
Alex Graf: Great, appreciate your comments, and thanks again for taking my questions?
Tom Lesinski: You’re welcome.
Operator: This concludes our question-and-answer session. I'll now turn the conference back over to Tom Lesinski for closing remarks.
Tom Lesinski: Okay, thank you for your questions. As we mentioned previously, we're very well positioned for the future, as our audiences and advertisers return to the movies. The strengthening box office indicates pent up consumer demand to see films on the big screen once again, especially among the highly coveted hard to reach 18 to 34 year old diverse audience that we own. We remain optimistic about capturing additional video advertising market share as declining TV TRPs make our young audience even more attractive to media buyers. The progress we’re making to execute all of our business strategies, combined with an incredibly strong film slate for the remainder of 2021 into 2022, including a concerted shift back to exclusive theatrical windows should ensure a continued recovery and growth of our business. I once again would like to thank all of NCM's teams’ hard work to reunite brands with the power of cinema, expand our cinema network, strengthen our digital offerings and diversify our advertising inventory beyond the big screen. I also want to thank our cinema operating partners, our advertising clients and our shareholders and lenders for their continued support and patience in addition to the hundreds of NCM employees. We truly appreciate you joining us on this call and hope that everyone continues to stay safe and healthy and look forward to seeing you again soon at the movies. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.